Operator: Good day, ladies and gentlemen. And welcome to the Fourth Quarter and 2018 Hecla Mining Company Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time [Operator Instructions]. I would like to turn the call over to our host, Mike Westerlund, Vice President of Investor Relations. You may begin, sir.
Mike Westerlund: Thank you very much. Welcome everyone and thank you for joining us for Hecla’s fourth quarter and year-end 2018 financial and operations results conference call. Our results and results news release issued last week and the financial results news release issued this morning before market open along with today’s presentation are available on our website. On today’s call, we have Phil Baker, President and CEO; Lindsay Hall, Senior Vice President and CEO; Larry Radford, Senior Vice President, Operations; and Dean McDonald, Senior Vice President, Exploration. Any forward-looking statements made today by the management team come under the Private Securities Litigation Reform Act and constitute forward-looking information under Canadian securities law, as shown on Slide 2. Such statements include projections and goals, which could involve risks detailed in our Form 10-K, Form 10-Q, and in the forward-looking disclaimer included in the earnings and exploration releases and at the beginning of the presentation. These risks could cause results to differ from those projected in the forward-looking statements. In addition, during this call, we may disclose non-GAAP financial measurements. You can find reconciliations of these measurements to the nearest GAAP measurements in the accompanying presentation, which is available on our Web site at hecla-mining.com. Finally, in our filings with the SEC, we’re only allowed to disclose mineral deposits that can economically and legally extract or produce. Investors are cautioned about our use of terms such as measured, indicated and inferred resources, which are not reserves and we urge you to consider the disclosures that we make in our SEC filings. I will now pass the call to Phil Baker.
Phil Baker: Thanks, Mike, and good morning everyone. There is a couple of things I want to highlight for you this morning before turning the call over to the Tim for specifics. We're going to start on Slide 3. The first thing is that our best mines are getting even better. We set records for the highest level of silver, gold and lead reserves in our history and it was done with the drill bit, not through acquisitions. But by the way, our zinc reserves would have also been a record that fell 3,000 tons short. Realize these reserves we're done with some of the lowest price assumptions for calculating reserves in the industry and are still went up significantly and price assumptions matter, it means our least profitable ounces have more margins. So when you consider reserves remember that not all answers are created equal, we have high margin ounces largely in Alaska and Quebec, great margins in great jurisdictions. In addition, we also had the most measured and indicated resources in our history as well as the most inferred. My expectation is for more reserved increases in the future, particularly, notable was Greens Creek was about 15% to 20% increase in reserves of all metals and an extension of the reserve mine life to around 2030. If you consider the resources, the mine life could be five to 10 years longer. This mine produces about half our revenues and over the last 10 years of billion dollars of free cash flow. My expectation is that over the next couple of decades, it might produce maybe 2 billion of free cash flow. Greens Creek is a remarkable mine, but sometimes I think the market has just taken it for granted. Also notable is Casa Berardi which produces about 35% of our total revenues adding about 400,000 gold ounces of gold reserves on surface with the new West Mine Crown Pillar pit, a 28% increase in reserves. This pit is only slightly lower grade than our highest grade pit and I suspect it will get bigger as we do the work to steep in the pit wells and do more definition drilling. Greens Creek and Casa together generated about 85% of our revenue, all of our free cash flow and are getting better and longer lived. There are also the model and what we're trying to do it our three other operations, San Sebastian, Lucky Friday and Nevada. I just came back from Nevada and I want to share with you a few of my observations. It reminds me in many respects of where we were when we acquired Casa, more questions and answers, lots of work that we have to prioritize, people that we have to determine their capabilities. And like Casa, we've made significant progress. Much of it will not be visible to you and many statistics yet, but Larry is going to talk to you about the progress we've made in development. It's been significant, but we're still trying different ways of dealing with different conditions in the mine. So while we're in a hurry to get to a steady state, we will take the time necessary to figure out the challenges of these mines, so our Nevada operations will deliver value for the long-term. Before I move on to the 2019 outlook, I want to point out the photo that's on the right side of the PowerPoint slide and it's from Sandvik Magazine called Solid Ground in which Alain Grenier, GM of Casa Berardi mine and the rest of the Casa Berardi team is featured. The article centers on the successful operation of the two Sandvik 40 times autonomous haul trucks and it's on our website if you'd like to read it. By the way, there are also two other cover stories from 2018 that are on our website, one from SME and the other from CIM. If you go to slide 4 where we provide our estimates of production costs, capital, exploration and R&D for 2019, Greens Creek and San Sebastian had similar production profiles in '19 as in '18 we expect silver cash costs to be only $1.10 an ounce and all in cost less than $11. The Casa Berardi production estimates were lower than last year due to lower grades causing costs to be slightly higher. Estimated Nevada gold production is higher with the full year production and considerably lower cost. The gold side of the business is expected to have cash cost per ounce at 875 at all in cost of 1,250. We estimate a $150 million for capital which is similar last year about $25 million exploration expenditures and reduction of $10 million. When you added all at that today's prices, we expect Hecla to generate free cash. So I'm going to pass call over to Lindsay.
Lindsay Hall: Thanks, Phil, and good morning everyone. Turning to Slide 6, we reported net loss applicable to common shareholders of $27 million or $0.06 per share with almost all the loss occurring during the last quarter. The adjusted net loss of $0.11 per share, adjusted EBITDA was $212 million versus $232 million in 2017. Gold cash cost and all-in sustaining cash cost both after byproduct credits came in at $871 and $1,226 per ounce respectively. While lower cash cost and all-in sustaining cash cost after byproduct credits were $1.08 and $11.44 per ounce. We're happy with our cost at our operating units other than Nevada operations which we reported higher cost, while we work through what we believe are transitional issues. Slide 7 shows our revenue streams that are nicely diversified with gold at 53%, sliver 24%, zinc at 17% and lead at 6%. Green Creek again continues to be the dominant source of revenues contributing 47% of our total revenues. We realized that we had more normal silver gold ratio of the revenue of the two metals that are almost be equal. Moving to Slide 8. Revenues for the year totaled $567 million versus $578 million last year. We had record gold sales of $248,000 ounces at the slightly higher realized gold price this year with our acquisition of Nevada operations effective July 23rd, contributing towards that record offsetting the reduced silver production, primarily at San Sebastian and lower silver prices realized this year. Earnings from mining operations amounted to $79 million, which is $73 million lower than last year. This reduction is not surprising as it primarily due to completely pit mining at our San Sebastian operation in 2017 and moving to an underground operation in 2018 where the grades are lower and the mining cost are higher. Lower other expenses including taxes offset lower operating profit, resulting in the net loss of $27 million, which was similar to that of 2017. On a consolidated basis, we generated $94 million in cash from operating activities and invested $137 million at our mine sites. Of that $137 million, $36 million was invested at our Nevada operations and includes approximately $14 million to complete a new tailings dam and to upgrade the CIL circuit in the mill to improve recoveries. We have a goal of financial discipline in which each of mines should produce free cash flow and clearly that didn't happen with our Nevada operations that we acquired effective July of this last year. We expect in 2019, the Nevada mining operations will be cash flow positive, but we'll invest those cash flows in more in exploration around the various Nevada mine sites and the development of the Hatter Graben and decline. At some of the mine sites, we have no major capital initiatives planned for 2019. Moving to the balance sheet, at the year-end, we had approximately $275 million in liquidity which includes a $250 million line of credit which was undrawn at the year-end, and $27 million in cash on hand. Our debt consists of $500 million in bonds which are repayable in 2021, $31 million hold to resource at Quebec also due in 2021. The bonds are callable at par on May 1st of this year. We continually monitor the capital markets and while we were able to refinance for bonds today, it would be at rate higher than the current bonds existing rate of 6.875%. We will continue to focus on turning our Nevada operations into a cash flow generator, building up expected cash balances and being patient about refinancing of our bonds. We have other methods available to reduce our total interest expense, such as using term bank debt, so the high yield market continues to be pricy for single B debt issuers that we may use these other methods and accommodation with new bonds being issued to reduce future interest expense payments. Also, I’d point out, in the back of our release, our calculated net debt to last 12 months EBITDA was 2.4 which we typically be representative of have a higher credit rating than we currently are assigned. So in summary, we had a good 2018 and are very excited about the potential for 2019 and beyond. With that, I’ll pass it on to Larry to talk about the operations.
Larry Radford: Thanks, Lindsay, and good morning. So start with, I want to highlight that our all injury frequency rate for 2018 declined 28% companywide, as you can see on the Slide 10. This is a statistic that we are very proud of and frankly will work to reduce it again this year. Also of note, Casa Berardi recently reached 1 million man hours without loss time accident. This is an incredible improvement from 2013, the year that we acquired the mine. Our Lucky Friday supervisory staff is also to be commanded, having operated the mine since the strike again without an injury. I also want to highlight the good work done at Greens Creek on Slide 11, which is still notes as our most important mine that generates about half of our cash flow. With a big jump in reserves that we have reported and the resulting three years or so of mine life addition, the team is working hard on a new technical report. With a revised mine time reducing the development in the next few years and moving the highest margin material from the end of the mine life to the next two years, we should see a significant increase in the value of the mine. Greens Creek as can be seen on Slide 12 had another strong year, producing over 8 million ounces of silver at a cash cost after byproduct added of $0.66 per silver ounce, contributed to this performance was record throughput of 2,301 tone time per day. Moving onto Casa Berardi on Slide 13. This mine just keeps performing better and better. The 157,000 ounces of gold produced was the highest since we acquired the operation. Fourth quarter production level was a bit lower than the previous quarter in part due to the removal of the primary crushers and replacement with the higher capacity crusher which took about a week. The record production is primarily due to throughput as shown on Slide 14. The mill operated as an average of 3,515 tons per day in the fourth quarter 2018 and 3,769 tons per day for the year. Casa milled at 825 tons per day more than 2016 and almost 2,000 tons a day greater than when the mine was acquired. In 2018, open pit feet accounted for 46% of the mill fees. We've run the mill at over 4,000 tons per day on a spot basis. We continue to study increasing throughput even further. Casa Berardi was our second highest cash flow generator in 2018 and a technical report is also being put together for it reflecting the significant increase in surface reserves in what we -- what could be the fifth surface pit all the West Mine Crown Pillar pit. Let's move on to Nevada on Slide 15, where most of our focus is this year. We have a plan to turnaround the access and we are working on that plan. In 2018, the focus was on getting the operations back on track in terms of understanding ground conditions at Fire Creek and getting the team organized. We have come a long way in this regard. Our strategy is simple develop and drill. We believe that the grades can be improved through new discoveries and resource conversion and ore production can be ramped up by opening up more working zone. Fire Creek, we have done review of equipment and we're adding equipment from Midas and from buying some new equipment. We've added two trucks, two large loaders, one jumbo, two bolter to the Nevada fleet for cost of total of about $6 million with the expectation that the upgrade will increase productivity. The implementation of shaft fleet into the development process is resulting in better ground conditions as expected, which should minimize and need to go back and rehab development immediately as was the case on the priority management. The CIL plant upgrade is complete and the mill is now able to process Hollister ore [indiscernible]. We have exceeded our annual development target of 35 feet per day in January as shown on Slide 16 and the goal will be to maintain this level of increase that were possible because this should open up additional headings and increased production. We have wrapped up Fire Creek manpower for underground manpower for 76 to about 110 through transfer of Midas in the Hollister miners. Our contractor has brought in a roadheader at Fire Creek and it's easily cutting the soft tough material, which is helping to speed up development and we are considering a wider application of this type of chain. We're planning to increase Fire Creek throughput midyear to about 520 tons per day from 340 tons per day which was the fourth quarter average, which means that the gold production will be weighted towards the second half of the year. The increased development is an important step for Dean's group as we have worked to do definition drilling to upgrade resources and exploration to discover additional resources. At San Sebastian on Slide 17, we are now collecting the both samples of sulfide material and we should have it run through third party mill potassium by the end of the second quarter. We currently have oxide materials stakes well into 2020 and Dean's group has a priority of finding more oxide ore. I'll hand it over now to Dean.
Dean McDonald: Thanks Larry. Last week, we announced the highest levels of silver, gold and lead reserves in our 128 year history. Total gold reserves reached 2.85 million ounces with an increase of 26% from last year, mostly due to increases in open pits at Casa Berardi as a result of successful silver drilling. Silver reserves grew by 8% to 191 million ounces primarily from Greens Creek due to a combination of good drilling results, advanced resource modeling techniques and improved smelter terms. The increase in the resources is also important because this suggest the potential for increasing reserves in the future. We continued with aggressive drill programs in the fourth quarter, following the successes at Casa Berardi, Nevada, Greens Creek and San Sebastian. A list of drilling intersection is provided in the Appendix B of exploration release on February 14, giving insights into the high-grade resources we are confirming and expanding. As you can see from Slide 19 had the reserve price assumptions of 1,450 per silver ounce and 1,200 for gold ounce are some of the lowest commodity prices used in the industry and have been for many years. On Slide 20, you can see that over the past 11 years, we have consistently replaced or grown silver reserves from 130 to 191 million ounces in addition to the 142 million ounces of cumulative production over that time. This means we have actually added a total of 200 million silver ounces in the past 11 years with no contributions from acquisitions. At Casa Berardi, we had considerable drilling success again along the main trends particularly in near surface and this has resulted in the new West Mine Crown Pillar as shown on the left hand of Slide 21 and expanded East Mine Crown Pillar and Principal pits with a total of 442,000 ounces of new gold reserves added during the year. There are now a series of pits along the Casa Berardi defamation zone. Underground exploration was successful. The red arrows show the projections of high-grade shoots that will be evaluated in the coming year, particularly in East Mine where access was reestablished last year. A closer look at the West Mine Crown Pillar pit in the cross section on Slide 22 shows the convergence of several broad mineralized lenses near surface, providing the critical mass for a potentially very economic open pit and the possible exploitation of zones with underground mining in the future. At Greens Creek, there was significant growth in reserves. As shown on Slide 23, definition and exploration drilling continue to add reserves higher in the mine at the East Ore and Upper Plate zones. Lower in the mine, we're adding two reserves and resources along some existing trends in the Gallagher Deep 200 South and Lower Southwest zones. Three drills will be operating underground all the year in these areas with the goal of defining additional reserves. In 2018, very little exploration occurred on the Nevada project until the Klondex acquisition was completed. It is evident that we urgently need to upgrade resources to move into the mine plans and identifying new resources. Slide 24 shows how significantly we are accelerating our efforts for both underground and surface drilling at more crews, more drills, more technology and increased budgets in 2019. The upper diagram on the right shows the location of underground definition and exploration drilling at Fire Creek. And hence underground drilling is plan for spirals, 2, 3, 4 and 9 and the Titan zones upgrade resources that can lead to new term reserves. Exploration of the spiral 9 in North zone provides the opportunity to extend some of the known mineralization trends. This drilling is planned to be in combination with surface drilling that will be initiated in April and we'll evaluate the Zeus Guard Shack in South Notice targets. Lower in the diagram, on the right shows the drills that Hollister are working to define the mineralization trends in West Gloria, Central Hollister and Gwenivere for near term mining. The development advancing to the East towards the Hatter Graben provides underground drill platforms for the drilling of targets in the East Clementine area and into the Hatter Graben late in the year. Surface drilling is planned to begin in April with the goal of extending the Hatter Graben resource to the East. At San Sebastian as shown on Slide 25, mining studies are being completed on the Professor East Francine veins and the polymetallic mineralization of the Francine vein. While at the same time, surface drilling is focused on defining new near surface oxide mineralization along the West Francine and Esperanza veins. Recently, we have successfully identified new oxide veins at the El Toro target and are pushing hard to define a new oxide source with further drilling. The emphasis of exploration in 2019 is to rapidly advance our opportunities in Nevada, define new oxide mineralization at San Sebastian and continue the drilling successes at Casa Berardi and Greens Creek. And with that, I'll pass the call back to Phil.
Phil Baker: Thanks Dean. We're going to go head and just go straight to questions operator.
Operator: Thank you. [Operator Instructions] Our first question comes from Cosmos Chiu from CIBC. Your line is now open.
Cosmos Chiu: If I may, my questions are mostly on Fire Creek here. I understand that Fire Creek and the entire sort of Nevada complex is still a work in progress, but certainly in 2018 a transitional year, there were some disappointments with the decrease of reserves beyond what was produced. I'm just trying to get a better understanding in terms of what has been the biggest surprise to you at these Nevada assets in terms of reserves, in terms of production, as ownership has handed -- since ownership has been handed over to Hecla?
Phil Baker: Well, I'll start and then I'll let Larry and Dean, jump in. But I think the biggest surprise and disappointment was the Klondex didn't follow the budget that they had presented to us. And so as a result, the amount of development that was done was significantly less than it was supposed to be done. And so as a result, it really has caused us to have to really focus and reestablish the mine. That's probably the biggest thing from my perspective, Larry?
Dean McDonald: Certainly, operationally, the biggest challenge is getting the development [indiscernible] despite down conditions that's you're challenging, we are on acceleration track.
Phil Baker: Cosmos for just to comment on reserves and we hit them pretty hard. Clearly, there was mining depletion. There was no drilling in the first half of the year. And so, there really wasn't time to refine and identify new reserves. But the other thing, we knew that there was a challenge in reconciling the production grades with the mill and so we really relooked at the modeling. We narrowed the vein or the size of the vein within the models, and so, we actually -- and changed the tapping or top cut and consequently that represented about half the reserve loss is that we are very conservative in our modeling of those of the existing resources and reserves.
Dean McDonald: Yes, we want to make sure that we have a base to build from in terms of reserves, in terms of resources. The development we want to, it's still work in progress to figure out the development hence why we're looking at a roadheader to go in and do the development in advance. So, we're not -- we think, there's a lot of different levers to pull before we will optimize this mine and similar to what we saw at Casa Berardi.
Cosmos Chiu: Of course and Phil and Dean, you know, it's great that you brought up the reserves and resources. Looking at a year and you talked about spirals 2, 3, 4 and 9 and a number of different zones Vonnie, Joyce, Karen, Honey and others. I'm just trying to understand you know what of these zones that you've identified are considered categorize I'd say new zones versus an extension of current mineralization. I think Dean sort of touched on that spiral 9, looks like it could be an extension in terms of drilling platform for current mineralization. I’m just trying to get a better understanding and trying to gauge the difficulty in terms of adding to reserve and resources based on are they new zones on extensions and whatnot?
Phil Baker: I’ll let Dean answer the question.
Dean McDonald: Well, Cosmos, I'd say, it's really all of the above. There are clearly extensions to the existing. You've mentioned Vonnie and Joyce the veins that have been key producers in the past. There are extensions to the North and South, in fact there may be opportunities up dip, but as you go to the North you have what refer to as, let me step back. So, for those zones, we know they're there there's been some preliminary drilling to define them and now we're getting the development in place to drill them all. From an exploration point of view particularly to the North, you have spiral 9, you have the North zone that the North zone is really a Northern extension of the known veins. We're seeing in the Titan zone a series of new veins there and then in spiral 9, surface drilling to the Northwest with Zeus, I think are defining some new veins that certainly look encouraging. We're going to need to drill them out, but as you see kind of near-term upgrading expansion along trends and then with spiral 9 Zeus and others things that are going to come in the next few years.
Cosmos Chiu: And then maybe that leads into my next question here in terms of timing. When would you be ready to potentially put out a reserve resource update? Again, there are you know and there are market concerns in terms of the low ounces on current reserves at this point in time. Again, understanding that you know Nevada still work in progress and all the other issues that we had talked about in the past on just now, but I'm just wondering. When would you be ready to potentially put on a new reserve resource?
Phil Baker: We have not actually made a determination. Our typical schedule is year-end and I'm not envisioning that we're planning to change that.
Dean McDonald: Yes, at this point, Cosmos, I'd say, we'd stay with our traditional schedule, but depending on what transpires that make change.
Cosmos Chiu: And maybe one last question on Fire Creek here. We've been given the production guidance for 2019 for Nevada as a whole as a complex, but I'm just wondering of how much of the 69,000 ounces of reserves from Fire Creek have you sort of incorporated into that 2019 guidance that be incorporated anything beyond reserves into that guidance?
Phil Baker: Yes, the answer is yes. Some of this would be beyond reserves as first what that percentage as that could give you, but it's I don't know if there is anybody know?
Lindsay Hall: Yes I don't know the exact number on that?
Cosmos Chiu: But there is some, but a lot of it the bulk of it I guess will be based on reserves.
Phil Baker: Yes. Well, it is a combination, I mean, and this was part of the calculus we did in acquiring this that you have to convert inferred into reserves. And frankly what happened is going to be similar to what we've seen at other mines where we are producing mineralization that maybe even doesn't even make it category. We certainly see that at Greens Creek a lot, we don't seeing that this would be any different than that.
Cosmos Chiu: And sorry, I lied, maybe one last question on Fire Creek here. You talked about increasing undermine underground throughput, I think 350 ton per day to 520 by mid-2019. Is that as simple as Larry said getting ahead on development, getting your 1,200 feet per month in place? Is that really the bottleneck?
Larry Radford: It's a key the key to expanding throughput is in expanding development without a doubt. Obviously, we need to also drill ahead of ourselves, get our definition drilling in place, confirm the stopes before we dive into all that's driven by developments.
Cosmos Chiu: And you're happy with the 1,200 feet per month level Dean or Larry?
Dean McDonald: Yes, I mean, we exceeded it in January. We're little bit behind in February only because we're driving raise as right now, so we're doing less capital lateral footage. But we see this is staying on plan. It was a matter of injecting more miners and more machines. And that's on track. And now we actually have some opportunity to improve our actual cycle at the phase that's the next challenge that we will take on.
Cosmos Chiu: And I just wanted to just make sure that people understand. You're still trying new things and you don't have a standard development plan yet for cycle yet. You're still working through that.
Dean McDonald: Yes, we're still working through that. We're still doing conventional drilling blast, which are typically very short rounds at fire Creek to hit the ground [indiscernible]. So, we have to have run a lot of hitting, shooting short blast and so there's opportunity there. The roadheader and the first trial was very successful, it got some material very well and left behind very solid back at rib and so, we're just -- we're learning as we go, we're injecting we have our VP tech services on site pretty much full time now we've taken Lucky Friday expertise down and we're making the improvements that we should be.
Operator: And our next question comes from Matthew Fields from Bank of America Merrill Lynch. Your line is now open.
Matthew Fields: So in the back since you've issued the bonds in 2013, in your EBITDA reconciliation, you've added back or taken away as is the case begins or losses unrealized on derivative contracts. So for the first nine months to see that was basically a 40 million hits in your EBITDA because you gain that in your income statement, but all of a sudden for the fourth quarter you know most of that’s gone away. So, it looks like you only take away about 8 million instead of 40. So, you're looks like you're inflating your EBITDA by about $32 million. Can you help me understand why that's not the case?
Phil Baker: Well the first thing I'd say is that, the derivative contracts that we had we closed out in the third quarter and generated 35 million, 32 million of cash from this contract. So, we have not -- the price of zinc and lead fell and we were able to generate that, that cash. And so, we were monetizing that hedge, so we've done that. Now, prices have come back up for zinc and lead and so, we're putting new positions in place. So to the extent that prices continue to rise, we will have that -- that number will grow as we put in more contracts and to the extent those go underwater. But, Lindsay, anything to add to that.
Lindsay Hall: Yes, Matthew, maybe you’re seeing, we detected 40 million and arriving adjusted net income, we take that gain out. Then we include in our EBITDA calculation, that's still alluded to the cash we received on the closing of the hedges, it's much the same kind of following covenants which allowed.
Matthew Fields: Right but the first nine months of 2018 basically you add back, you take away 40 million and then all of a sudden that disappears in the full year. I'm just…
Phil Baker: You’re talking about segment or balance sheet or cash flow.
Matthew Fields: Income statement is for the first nine months, you've gained 40 million on derivatives that shows up in the full year income statement as well, but in…
Lindsay Hall: Not much happened in the fourth quarter, Matthew.
Matthew Fields: Right, agreed. And the EBITDA reconciliation when you look at you know your third quarter release that entire 40 million from the income statement was taken away, but now all of a sudden on the fourth quarter before only 8 million have taken away.
Phil Baker: Yes, I think what you're saying maybe in the third quarter we didn't add back the cash games on the cast out. Head's right, is that what you're alluding to, we'll look back in and check that, but…
Matthew Fields: Yes, but if I look at your cash flow statement, it looks like you've only gained monotype $15 million. So, there is a lot of distant screw numbers going on and just maybe we can take this offline because it you reported $156 million of EBITDA for the first 9 months, $28 million in the fourth quarter and something how that's supposed add up to 2011. Happy to take this offline.
Phil Baker: I might argue, they're not screwing numbers. They're just discounting and cash flow being next. We'll be with it.
Operator: Thank you. Our next question comes from Heiko Ihle from H.C. Wainwright. Your line is now open.
Heiko Ihle: I promised myself I wouldn't ask possible already question this time for one. So going over to Nevada, you mentioned the asset should be cash flow positive this year. Are you willing to qualify this just a little bit more especially given that your all and sustaining cost estimate there is 1,325 an ounce?
Larry Radford: No, what we've said is that the operations will be cash flow positive with the exception of the exploration and the development for the Hatter Graben. So, when you look at and basically we're saying that, we're right at positive cash flow from Nevada and if you look at the all-in sustaining cost, you see that.
Heiko Ihle: And then, the decline is about 15% complete so there is still bunch of work to do obviously. And speaking of…
Larry Radford: We'll do 5,000 feet of development at Hatter Graben.
Heiko Ihle: And speaking of Nevada and following up from the question that Cosmos have asked. I mean you mentioned, the increasing the throughput at Fire Creek from 350 tons per day to 520 tons per day by 2019. You've also been stated your focus on and this is from your lease, maintaining the development grade and all ground conditions. Am I reading something into here that's not there? Is there something I missing? I thought the ground conditions are into that mine as the ground conditions at Fire Creek are actually pretty solid. Is there -- are there pockets that need extra ground support? Or again am I missing something there?
Phil Baker: Yes, when you remember when we brought it, we talked about fact that we have this tough that created weather conditions that we have to come in with the synthetic liner and go to road base. Well, that's -- so, we dealt with the road conditions, but you have that same condition on the back and on the rigs. And so that's what Larry is alluded to with shaft treating that we've have to do and that's why we're contemplating the road header going through this soft material. Larry?
Larry Radford: Yes, it fits variable, you can see very good ground conditions for albeit 24 feet a day and a given heading. And then times we run into altered tuffs and very clay like material that take short rounds and requires a fair amount of support. And the additional [indiscernible] it's variable.
Phil Baker: And then you also have the introduction of water into this tough, which again -- if you think about if you look at those pictures of the road, you get a sense of how soupy it becomes and difficult to operate in. And so, we're trying to figure out the best way to deal with the changing ground conditions. And so, that's why I continue to make a point that we're experimenting, we're trying new things. I'm more interested in Larry coming to a series of standards depending on the ground conditions rather than just being so worried about getting the development. But, Larry.
Larry Radford: You've mentioned water, there's perks water in certain pockets and we're looking at a bit more of a mobile dewatering plans so that we're not managing the water underground. So, yes, we've shown, as Phil alluded, we've shown photos of some of the poor conditions and what we're doing to manage them. We've got the right team there. I mentioned the roadheader, it's actually a very small roadheader that we're trialing right now. And if it continues to perform as well as it seems to be, we may go all in for a large roadheader, I'm a really large roadheader and really jack up the advanced grade.
Operator: Thank you and our next question comes from Anthony Sorrentino from Sorrentino Metals. Your line is now open.
Anthony Sorrentino: You're estimating 2019 capital expenditures at $150 million and 2019 exploration expenditures at $25 million. Would you break those down by property?
Phil Baker: Sure. Someone had it handy or…
Lindsay Hall: Well, I’ll talk about the exploration. So, you know that 25 million, Anthony, the half of it will be in Nevada and the remainder will be split between Casa Berardi, San Sebastian, and Greens Creek. There'll be very little exploration outside of those four areas.
Phil Baker: And Casa Berardi in Mexico was roughly 3 million.
Lindsay Hall: Yes, Casa’s 3.6 sense of…
Phil Baker: And as far as the capital goes, it's that 12 million for the Lucky Friday, about 15 million each board Greens Creek and Nevada and then about 40 million for Casa Berardi.
Operator: Thank you and our next question comes from Ajay Lele from Southpaw. Your line is now open.
Ajay Lele: I just wanted to ask about the Casa Berardi medium term cost outlook as you move from underground what looks like into more of an open pit mine plan for your recent reserve announcement?
Phil Baker: Yes, there's really no change in the percentage of surface and underground planned anytime soon. We'll have a number of years of the underground based on the current reserve and we're adding to reserves you know periodically. So, those will not change, it's still roughly 50-50 and the grade will be underground about twice the grade of the open pit maybe a little more and not much. The new stuff that we've added from the West mine is a bit higher grade than the surface average. So, all in all, our expectation is sort of maintain the cost structure that you see as we develop both the underground and the surface.
Larry Radford: So, all of that's premised on a permit limit at 1.4 million tons, metric tons per year, and we are going to apply for an addition to that. Should we successfully raise the permit at limit and make some adjustments in the mill and we could increase the amount of open pit going into the mill.
Phil Baker: Yes, that's right. And that would be increases to how much?
Larry Radford: Well, we're applying for $1.6 million.
Phil Baker: So, 0.2 million more?
Larry Radford: Yes.
Operator: Thank you. And our next question comes from Trevor Turnbull from Scotiabank. Your line is now open.
Trevor Turnbull: I just had one quick question, very simple question with respect to Nevada. Is there any chance you're going to have a site visit this year, might make it simpler to understand some of the stuffs that's been discussed on the call so far?
Phil Baker: Yes. I'm sure we will have one this year. We haven't made any specific plans at the moment. I want Larry and his team to have the opportunity to get there SAPs for the development in the different conditions resolved before we start bringing people onto the site. So while we're still in this learning phase, it's probably better to wait.
Trevor Turnbull: My other question is we're really more for Larry with respect to Greens Creek. Larry and Dean, I guess the first thing, you've got some exploration and potential reserve additions coming at Greens. Can you give us a sense Dean what that's going to look like in terms of the reserve grade you've got there at Greens Creek? I think you're on the order of what 400 grams silver now. Are these areas likely to be consistent with that and kind of maintain a similar level of silver?
Larry Radford: Yes, Trevor, so last year and I think announced this per ton, but last year our reserves were 11.8 and we're at 11.5 this year. My expectation is that you're going to see that 11.5 to 12 with potential resources converting to reserves. We are exploring upper plate, that's narrowed with the very high grade the same true for East ore. And both of those areas are higher up in the mind. And Deep 200 South is overall more precious metal rich, so that you will see with the couple of these areas higher grade precious metals than the reserve grade and slightly lower base metals, but that's going to fluctuate. Overall, I don't see huge changes in the grade, the reserve grade overall.
Trevor Turnbull: So maybe the better way to think about it really given all the base metals is that, NSR is unlikely to change a whole lot in terms of the value per ton of the stuff you're looking at versus what you've already got.
Larry Radford: Yes, I think that's good comment.
Trevor Turnbull: So I guess what I'm also wondering is, you talked about certainly on the slide and the presentation, looking to move some high-grade material forward in the mine plan and it feels like you you've been just kind of little ahead of reserve grade recently. Are you looking to kind of still kind of maintain that? Are you looking for a pretty significant bump in the grade you're moving forward? And I guess my question really is trying to get at, are you going to kind of be above the reserve grade in aggregate there for a few years and then kind of to what degree such that I kind of understand to what degree of might deliver -- sorry, it might dip below reserve grade going forward?
Lindsay Hall: Over the next sort of four years, 2020 through 2023 reserve grades will be or production grades will be higher than what they it has been. I don’t, off the top of my head, have can't remember what that will be. But as a result, we will have higher ounce production. Larry, generally speaking, and we'll have those in the 43-101, you'll be able to see that, but generally speaking, Dean.
Dean McDonald: Yes, in next year. This will not match the technical report exactly because this is more of an internal.
Phil Baker: This includes inferred everything.
Phil Baker: Yes, this is not going to match the technical report, but it'll give you a kind of an idea of what will be we should be next year in the 12.5 ounce per ton, silver.
Phil Baker: So call it announced that are and for the next two years.
Trevor Turnbull: A healthy 10% or so better than where it's been. And then Larry, I guess also just referring to that Slide 11 in the deck. You show the old design with a ramp, looks like you've been able to get away without having to put in that ramp which is obviously a huge savings and you've gone to this what looks to be a much more simplified design. I'm just curious, it looks almost too good to be true that you could get rid of all that development and do what you need to do using existing workings. Can you just explain a little bit about how that came to pass that you could eliminate all that development and still achieve what you needed to?
Larry Radford: The graphic that we included is just one example. This is the East Ore and the very high end of the mine where we anticipate when we published our report, if there'll be 15,000 peer development pit and a part of it is coming from this section we're showing in the graph, but not all of it. Some of its just a good three thins of, how we are actually have seen, what are complicated or bodies, these things are geometrically complex. And the more we can come off of the existing access as we have in this example, the less development we're going to do. So 15,000 feet capitalized is no small amount of money it's actually its quite significant.
Phil Baker: But to the to the point I think some of this as come as a result of being able to take more data and build a clear picture of where these ore bodies are. I think I don't mean to give advertisement for Leap Frog, but I think it's been very helpful.
Larry Radford: As you know the geometry of the ore bodies at Greens Creek are challenging particularly when you're trying to model using Leap Frog primarily we've been able to create wireframe models of the ore bodies that incorporate, not only the drilling, but all the underground sampling and really been able to develop I think a lot more realistic 3D model. And I think that's contributing as well to mine planning and optimization is that historically Greens Creek had a lot of mining ore zones outside of the modeling which of course causes adjustments and time delays. I think we're doing a much better job of recreating that geometry in our models now.
Phil Baker: And so as a result of that, we're put the development and where we can be much more efficient with what we're how we're designing it. That Larry has.
Larry Radford: Yes, just the last thought is if the Fire mine plan, we have 15 foot high cuts and they were horizontal cuts. And so, as we designed them, we -- as soon as you got towards the fringes and it no longer paid you just cut off the stope, we've not adjusted our center lines more to the actual geometry of the ore bodies. And it's made for well more ore and more efficient development.
Operator: Thank you. And I'm showing no further questions at this time, I will now like to turn the call back to Mr. Phil Baker for any further remarks.
Phil Baker: The only thing I'll say is, I know, it's busy day for you guys with lots of calls. So feel free later in the day to give Mike or I, a call, we'll be happy to answering more question that you might have. Thanks very much. Have a good day.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes today's program. You may all disconnect. Everyone have a great day.